Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the KP Tissue Fourth Quarter 2020 Results Conference Call. [Operator instructions] Before turning the meeting over to management, I would like to remind everyone that this conference call is being recorded on Thursday, March 11, 2021. I would now like to turn the conference over to Mike Baldesarra, Director, Investor Relations. Please go ahead.
Mike Baldesarra: Thank you, operator. Good morning, ladies and gentlemen. My name is Mike Baldesarra. I'm the Director of Investor Relations at KP Tissue, Inc. The purpose of this conference call is to review the financial results for the fourth quarter of 2020 for Kruger Products LP, which I'll refer to as KPLP going forward. With me this morning is Dino Bianco, our Chief Executive Officer at KP Tissue and Kruger Products LP; and Mark Holbrook, Chief Financial Officer at KP Tissue and Kruger Products LP. The following discussions and responses to questions contain forward-looking statements concerning the company's activities. Forward-looking statements involve known and unknown risks and uncertainties which could cause the company's actual results to differ materially from those in the forward-looking statements. Investors are cautioned not to rely on these forward-looking statements. The company does not undertake to update these forward-looking statements except if required by applicable laws. There is a page at the beginning of the written presentation, which contains the usual legal cautions, including as to forward-looking information, which you should be aware of. I'd like to point out that today all the figures expressed in today's call are in Canadian dollars unless otherwise stated. The press release reporting our Q4 2020 results were published this morning and will be accessible from our website at kptissueinc.com. Please be aware that our MD&A will be posted on our website and will also be available on SEDAR. Finally, I would like to ask that during the call, you refer to the presentation we prepared to accompany these discussions, which is also available on our website. [Operator Instructions] Thank you for your collaboration. Ladies and gentlemen, I'll now turn the call over to Dino Bianco, our CEO. Dino?
Dino Bianco: Thank you, Mike. Good morning, everyone, and thanks for joining us on today's call.  One year ago today the world changed for all of us in ways none of us could have imagined. We have all had our lives disrupted and the impact of businesses and the economy has been great. I trust everyone has remained safe and looking forward to moving quickly to a better time. The pandemic has had a significant impact to how we work, how we connect and the performance of our business. We have been fortunate that Kruger Products to be a leader in a category that people need with brands they want and our business has performed well while our people remain safe and motivated to build our business. 2020 brought more than its share of challenges along with unprecedented market conditions which our team tackled with dedication and determination. Given this unprecedented year I am very pleased on how our company responded and the results we delivered. Strong demand across all our consumer product categories combined with operational excellence translated into record high adjusted EBITDA. This solid performance was achieved despite the fact that Away-From-Home remain under pressure from the impact of COVID-19. Throughout the year our execution and ability to supply customers in times of high and volatile demand were clearly enhanced by the benefits of our OpEx program. Combined with continued investments in innovation in our brands these led to strong market share gains over the previous year. In response to COVID-19 we implemented and maintained a comprehensive program to keep our people safe and avoid major disruptions to our business. This was only possible thanks to the dedication of more than 2,700 employees across North America who displayed care and professionalism in keeping each other safe and making sure that we supply tissue products to our customers and consumers. Today I want to personally thank you for your hard work and passion for our business. Now for a review of the numbers. Starting with the year excluding the divested Mexico business year-over-year revenue increased by 11.7% to reach $1.5 billion. Adjusted EBITDA was up 36.4% to $197.8 million. By geography Canadian sales increased by 8.9% while U.S. sales grew by 16.2%. We are quite happy with these results especially when you consider all the reinvestments we made in our business for the future. In the fourth quarter revenue increased by 10.6% to $385 million. Volumes remained strong in the Canadian and U.S. consumer segment while AFH remained under pressure. By geography Canadian sales increased by 9.9% while U.S. sales grew by 11.8%. Adjusted EBITDA was $36.2 million a decrease of 21.3% over last year. These results reflect our decision to reinvest in our business with a greater commitment to marketing, startup costs at TAD Sherbrooke, more outsourcing and a one-time bonus to all our hourly workers. Moving on to market pulp prices. Q4 NBSK and eucalyptus prices and Canadian dollars remained relatively stable year-over-year. On a sequential basis the declines were 1.7% and 1.8% respectively. In U.S. dollars NBSK prices increased slightly while eucalyptus prices remain relatively stable when compared to Q3. As indicated last quarter we did expect NBSK and BEK prices to increase moving into 2021 but certainly not as much as we saw in the past few months. Given this unprecedented increase we are looking at all options to offset these costs including potentially pricing. For the remainder of 2021 we fully expect the upward trend and pulp prices to continue. With regards to our COVID-19 safety protocols we remain highly focused on employee safety and business continuity. To-date we suffered no major disruptions to our business or supply chains allowing us to maximize our production and distribution. As we continue to manage the pandemic's impact we're also preparing for a post-pandemic recovery. We want to continue to carry forward some of the benefits brought to our business by COVID such as having fewer SKUs, increased brand distribution, new advertising direction and increased focused on e-commerce. We believe that post-pandemic consumer behaviors such as working from home, increased focus on hygiene and a greater shift to e-commerce will benefit consumer of Tissue. The past few quarters has showcased the high level of consumer trust in our brands. A fact that has helped us reinforce our leadership position in these uncertain times. We remain committed to continue to invest to support our brands for the future. Finally in recognition of our employees who had to work differently during COVID-19 while meeting unprecedented increased tissue demand we chose to pay a one-time bonus of $1000 to all our hourly workers across North America in December. Let me give you a quick update now on TAD Sherbrooke. Despite the COVID-19 protocols and challenges we were able to start up our facility on time and on budget. Our team there has done an amazing job and we thank them for their hard work and success. As a result our converting lines and paper machine are now tracking ahead of our projected ramp up curves. As expected during the fourth quarter we incurred $4.5 million in startup costs and additional amounts are expected in Q1, 2021. What's more we're starting our TAD Sherbrooke facility as an OpEx and AI ready greenfield. At maturity this tissue machine will increase our annual output by approximately 70,000 metric tons of bathroom tissue and paper towels for the North American market. This new tissue capacity will allow us to build our presence in the premium test shoe segment. To further support our long-term growth strategy a few weeks ago we announced the $240 million investment in Sherbrooke. This new project calls for the addition of a bathroom paper towel tissue converting line at the existing facility and the construction of a new facility to have an LDC tissue machine as well as a facial tissue converting line. Construction will start in the summer of 2022 and the LDC machine is expected to start up in 2024. The bathroom tissue and facial lines will be commissioned in 2022 and 2023 respectfully. The project is being financed with debt and is non-dilutive. At maturity the annual tissue output will exceed 30,000 metric tons. With this new investment Sherbrooke will become a major tissue production hub that will work with our existing facilities to reach our North American markets. The new investment will provide us with greater product flexibility in both conventional and premium products. Let me now turn to our OpEx program. I'm pleased to say that we completed the initial two-year phase of our OpEx program ahead of our annual cost savings targets. The program also made it possible to drive more capacity and asset reliability. As previously mentioned this program was instrumental in helping us to more effectively address the strong market demand and volatility caused by the pandemic. As we completed the first phase our OpEx program has matured with measurable progress at all sites. We remain focused on investing more in enhanced maintenance to drive stronger and more reliable asset performance. Moving into 2021 and the future the program will be expanded to include other assets and focus on reducing waste. Among the longer term benefits and most important aspects this program fosters a cultural shift with a higher level of employee engagement and empowerment to drive operational excellence. Moving to our trademarks. We continue to focus on investing to build our brands and that's reflected in our financial results. As planned we carried out more marketing investments in the second half of 2020 as we shifted spending from the first half. Spending in Q4 exceeded Q3. 2020 full year spending exceeded 2019 and 2021 spending is projected to increase versus 2020. Our unapologetically human media campaign employing purpose-driven messaging was a bold move and a huge success with consumers from coast to coast. The campaign marked a strong departure from typical and traditional tissue campaigns. We were able to run this advertising for English, French, South Asian and Chinese consumers. We strongly believe in the power of multicultural marketing which allows our brands to better resonate and connect emotionally with the evolving demographics of Canadian consumers. Canada wouldn't be Canada without hockey. We fully recognize that the past year has been challenging financially for many Canadian families especially when it comes to the cost of keeping their children involved in minor hockey. As the official tissue partner of the NHL we launched the Big Assist program with the objective of donating over a $100,000 to families in need in order to help them offset hockey registration fees. As a Canadian company and true hockey fans we felt compelled to assist Canadian hockey families during this difficult time. We are also very excited to announce that we improved the quality of our cashmere bathroom tissue to make it even softer. This new product launched in Q4 with full marketing support and is now in full distribution. Throughout 2020 we saw a white cloud brand gain strength in the U.S. thanks to expanded distribution and new listings. To further support our brand for the first time ever we provided TV support with our unapologetically human campaign adapted for the U.S. market. The data presented on slides 13 and 14 is from Nielsen. It shows dollar market share and represents the 52 week period ending December 26, 2020. We delivered strong market share growth that actually began in late 2019. These gains were driven by an improving supply position, strong customer partnerships and continued strong marketing support. Our Cashmere and Purex brands are undisputed market leaders and end of 2020 with a combined share of 36.9% up from 33.2% the previous year. Our market-leading share and facial tissue remains stable at 31.5% our Scottish is the clear number one with the brand being synonymous with facial tissue for many Canadian consumers. We see significant growth potential in the paper towel category and made good share progress 2020 with a 21.8 share. With TAD Sherbrooke gradually coming on stream adding incremental premium paper towel capacity, we are strongly excited about the opportunity to grow in 2021. Finally, COVID driven demand has presented us with the opportunity to further expand our distribution and sales of white cloud in the U.S. Clearly we want to build on the 2020 sales momentum by making strong marketplace investments where we have distribution, we are working to build the brand for today and for the future. The Away-From-Home category continued to be challenged in Q4 given COVID-19 safety protocols. We continue to prepare the business for improved market conditions. We have implemented OpEx and Away-From-Home. We have modified our product and customer offering to take advantage of the consumer-like markets and we have implemented temporary layoffs in response to softer volumes where necessary. At this stage future success of AFH depends on recovery of end markets. On a sequential basis AFH reported a smaller EBITDA loss on slightly higher sales. We continue to buy more paper from the market for AFH as strong sales in our consumer business absorb most of our internal paper capacity. COVID-19 restrictions will continue to significantly impact sales volume in the near term. We continue to do the right things in AFH and now have a recovery plan for an expected back half turnaround in this sector. With that I will now turn the call over to Mark who will review our quarterly results. 
Mark Holbrook: Thank you Dino and good morning ladies and gentlemen. I will now ask you to turn to slide 16 which reviews our financial performance for the fourth quarter. Revenue was up 10.6% to $385 million in the fourth quarter compared to $348.1 million for the same period last year. Adjusted EBITDA decreased by $9.8 million to $36.2 million from $46 million in Q4 of last year and decreased sequentially by $10 million from $46.2 million in Q3 of 2020. From a margin perspective adjusted EBITDA decreased to 9.4% from 13.2% last year and decreased from 12.5% in Q3, 2020. In the fourth quarter of 2020 we recorded a net loss of $28.5 million compared to a net loss of $6.1 million last year. The increase was primarily due to lower adjusted EBITDA, a higher loss on the change in the amortized cost of the partnership units liability and an impairment charge on AFH goodwill of $8.9 million partially offset by a foreign exchange gain. In the quarterly segmented view on slide 17 consumer revenue increased by 16.7% year-over-year to reach $333.2 million. In the Away-From-Home segment revenues declined by 17.2% to $51.8 million. On a sequential basis AFH revenue increased by 5.2% over Q3. Consumer segment adjusted EBITDA decreased by $3.2 million to $44.2 million and adjusted EBITDA margin decreased from 16.6% to 13.3%. For the Away-From-Home segment adjusted EBITDA decreased by $1.3 million to a loss of $2.4 million and adjusted EBITDA margin stood at negative 4.6% versus negative 1.8%. For the previous year. Corporate and other costs were a loss of $5.6 million in Q4, 2020 compared to a loss of $0.3 million for the prior year, an increase of $5.3 million resulting primarily from the $4.5 million of startup costs related to TAD Sherbrooke. On slide 18 we review Q4, 2020 revenue over Q4, 2019 which was up by $36.9 million or 10.6%. The increase is primarily attributable to strong volume increases in Canada and the U.S. primarily related to COVID-19 wave to demand. This was partially offset by lower AFH revenue along with consumer U.S. selling prices that are contractually tied to U.S. pulp prices moderating lower. Also the impact of FX was unfavorable on U.S. sales. By geography Canadian sales increased by $22 million or 9.9% and in the U.S. sales increased by $14.9 million or 11.8%. Overall it was a strong sales quarter for all of North America driven by the consumer business. On slide 19, we provide further insight into our Q4, 2020 adjusted EBITDA which decreased year-over-year by $9.8 million or 21.3% to $36.2 million. Gross margin for the quarter also decreased from 15.5% to 13.7%. The decrease in adjusted EBITDA was driven by the combination of several factors, additional manufacturing overhead costs related to COVID-19 including a one-time hourly workforce bonus, TAD Sherbrooke startup cost, lower AFH sales, higher freight and outsourcing costs, increased investment in marketing to support our brands and higher SG&A costs. These elements were partially offset by higher consumer sales volume, slightly lower pulp costs and the benefits of our operational excellence program. For a sequential perspective let's turn to slide 20 where we compare Q4, 2020 to Q3, 2020 revenue. Quarter-over-quarter revenues increased by $15.9 million or 4.3%. Both the consumer and Away-From-Home businesses in Canada drove this increase while the U.S. consumer business was impacted by lower selling prices contractually tied to pulp prices and unfavorable FX. By geography revenue in Canada increased by $20.8 million or 9.3% while revenue in the U.S. decreased by $4.9 million or 3.4%. On slide 21 Q4 adjusted EBITDA decreased sequentially by $10 million or 21.7% compared to Q3 and gross margin declined from 16.6% to 13.7%. The decrease in adjusted EBITDA was primarily due to four items; increased investment in marketing, higher freight and warehousing costs, the one-time bonus previously discussed and TAD Sherbrooke startup costs. I will now turn to our balance sheet and financial position on slide 22. Our cash position was $128.7 million at the end of Q4, 2020 an increase of $11.2 million from $117.5 million at the end of Q3. Cash position includes $32.3 million in the TAD Sherbrooke entity at the end of Q4. Not including that amount at yearend total liquidity was up to $316.8 million representing cash and cash equivalents and availability under the senior credit facility within the covenant limitations. Overall net debt at quarter end stood at $624.7 million, up $32.2 million from $592.5 million at the end of Q3, 2020. Our net debt to trailing 12-month adjusted EBITDA ratio increased slightly to 3.2 times. I will conclude my section by reviewing the CapEx on slide 23. 2020 CapEx totaled $310.6 million including $274 million for TAD Sherbrooke. At quarter end accrued and unpaid capital spending on the new facility stood at $47 million. Looking at the full year 2021 we expect regular CapEx including the new Sherbrooke expansion project we just announced to be in the $45 million to $65 million range while the TAD Sherbrooke CapEx is expected to total approximately $115 million once all project payments are completed. Total CapEx for 2021 fiscal year is expected to be in the range from $160 million to $180 million. Thank you for your attention and I will now turn the call back over to Dino.
Dino Bianco: Thank you Mark. Let me go to slide 24 which demonstrates our sustainability efforts. Sustainability is at the core of our company and we have made significant progress over the past decade. All our efforts targeted a balancing of the three Ps; people, planet and profit. In 2010 we launched our initial five-year sustainability development program followed by a second five-year plan which culminated in 2020. We've delivered on the four ambitious objectives we set for ourselves. Reducing energy consumption, reducing water consumption and greenhouse gas emissions as well as improving employee health and safety. Over the next few months we'll be launching a new and more comprehensive sustainability program which will build on the progress made over the past decade.  Turning to slide 25 our plan is to build a strong future and this requires continuous reinvestments in our brands and business along with very initiatives to drive consumer revenue growth. This is further exemplified in our recently announced Sherbrooke expansion project. We are investing in our strong brands to build our market share leadership in Canada while making a strong push to expand our White Cloud brand in the U.S. As I mentioned a few minutes ago TAD Sherbrooke is moving to a ramp up in commercial phase and the focus now is to deliver against our product and customer plans. The additional ultra premium tissue capacity is fully committed and supported by a sales pipeline of new and existing customers in North America. We completed the first phase of our OpEx program with great success delivering cost savings capacity and asset reliability. We entered the next phase of this program with new objectives and a sustainable cultural shift. While AFH faces near-term challenges we've done all the right things to prepare for the recovery of end user markets. We continue to develop our organizational capability which is rooted in strong, passionate and inclusive results-driven culture ensuring future growth by exceeding consumer and retailer needs with quality products as our top priority. For our shareholders we are fully committed to reinvesting in the business to deliver strong sustained results. In terms of our outlook for Q1, demand for our consumer products is expected to remain strong but will be tempered by the impact of consumers and customers reducing tissue inventories given the stable tissue supply and continued lockdowns. The AFH segment will continue to see suppressed demand due to COVID-19 restrictions. Given these dynamics and increased investments in marketing higher pulp costs and TAD Sherbrooke startup costs adjusted EBITDA is expected to be in the same range of Q4, 2020. Finally, I would like to praise our 2700 employees for their amazing work over the past year. Their passion and dedication helped our business deliver strong results during a period of high demand and high uncertainty. A special thank you to our TAD Sherbrooke team and partners who delivered a state-of-the-art facility on time and on budget during this pandemic. I also wish to reiterate my sincere thanks to our operations, distribution and customer facing teams who are focused on delivering changing retailer needs across North America. Our people and our culture are true differentiator for products. We will now be happy to take your questions.
Operator: [Operator Instructions] Our first question is coming from the line of Hamir Patel from CIBC Capital Markets. Go ahead please. Your line is open.
Hamir Patel: All right. Good morning. Do you know, in the slides it mentioned that some of the Q4 sales in U.S. consumer were affected by selling prices falling for business that's contractually tied to U.S. pulp prices. How much of your consumer business in North America has those sort of formal pulp indexing in the contracts?
Dino Bianco: Yes. That is mainly a U.S. comment and it ranges from 40% to 60% of our business in the  U.S. it's tied to pulp contracts.
Hamir Patel: And Dino, I guess I'm just curious your thoughts on how you're going to address the steep escalation in pulp costs? Have you started to do some de-sheeting and have you seen any producers come out with price hikes?
Dino Bianco: Yes. I mean that's an obvious question Hamir. It's been unprecedented I think any one of us who, any one of us who have been around this industry for a while it is the degree and the speed of which pulp prices have moved has been unprecedented and obviously is a huge input cost for us that has a large impact. The good news is we got on this early a couple of things. I mean we started extending our pulp coverage because of COVID but also to make sure that we had security over our input costs, our input supply. So we started extending coverage on our business. We are looking at all things. I think probably the big three are potential for de-shooting in some areas productivity and looking at where we can cut waste or maybe even cut low performing SKUs little profitable SKUs and then of course pricing. When you've got this kind of movement on the business you have to look at all elements that we are doing that and we'll keep watching where this market goes but I think all indications are that it may retreat a bit in the back half but we'll likely stay high this year. So we will be ready to initiate action as soon as we get more clarity.
Hamir Patel: That's helpful and Dino just remind us your mix of softwood pulp versus hardwood pulp and how much of sort of office papers you buy as well?
Dino Bianco: Yes. I will give you a precise number. I think I'm going to be hesitant because some of that is competitive. I mean we're probably in the 60/40 range depends on the product of course as you can imagine towel bathroom that's different and as we think about the future where towels going and particularly TAD. So I would say we're not overly invested in one area or the other and we do have the benefit of recovered recycled fiber as you mentioned. Much of that is used in our way from home business which unfortunately this year the volume is down but we have, we do have that option. At the end of the day though I want to be very clear at the end of the day we produce quality products whether it's our own brand or for our customers and we will not take action that will substitute fiber that could lead to a quality deterioration. That is not action we will take. So we need to balance anything we do on the fiber bundle with making sure that we deliver against the quality specs of our products that we produce.
Hamir Patel: It makes sense. That's all I had. Thanks Dino.
Operator: Our next question comes from the line of Sean Steuart with TD Securities. Go ahead please. Your line is open.
Sean Steuart: Thanks. Good morning everyone. Dino, what you said to the TAD Sherbrooke startup cost should we read it as they'll continue at the same level into the first quarter and that'll be it and you wouldn't expect any further expenses post Q1?
Dino Bianco: Well, I'm going to turn over to Mark in a second I think the answer is you will see some of that and I'll let Mark talk about it but I'm very pleased with the speed of our startup and how we're getting ahead of the curve. You never know when you're doing these massive starters particularly during a pandemic and as I said the team has done an incredible job. You think about the number of construction workers, suppliers, partners coming from other parts of the world to help us and we did it safely and we did it I say on time and budget in fact I could actually say it's ahead of time and budget. So our startup cost and you were going to be there in Q4 we do have something Q1. Maybe I'll let Mark take that question.
Mark Holbrook: Good morning Sean. Yes, we are expecting that the TAD Sherbrooke startup costs would continue in Q1. We had a good startup already. Certainly not quite as high as we saw in the $4.5 million that we had in Q4, 2020 and then we'd see a good ramp up starting in Q2 working through Q3 and higher again in Q4.
Sean Steuart: Okay. Thanks for that. With respect to the Sherbrooke expansion, can you give us some context on for the paper machine why LDC versus TAD and any context on how the returns for this CapEx would compare to your TAD initiatives to this point?
Dino Bianco: Yes. I want like to start with strategic reasons behind it. I think we've always had on the radar that we after [TAD 2] there needs to be continued investment to continue to grow. I think COVID and what we anticipate will be sustained growth in the consumer tissue segment driven by more people staying at home and more focused on hygiene, I think accelerated our focus and need to put more assets earlier than we maybe were projecting. TAD Sherbrooke made lots of sense because we already have the TAD facility and by adding a paper machine and we are we're looking at LDC as you mentioned most of the market continues to be LDC in Canada. I'd say about 80% of the bathroom tissue is LDC. So even though it's a very good quality product and most of what this market is by adding LDC that gives us the greatest flexibility because we now have TAD on the premium end. We have LDC and that gives us the option to produce a wider range of products in the market and quite frankly it allows us to deal with some of the outsourcing that we've had to do on paper in the mainstream area around LDC paper. So it has many benefits for us and of course adding a facial line and another winder or BTPT line will then also give us the expanded network capacity around converting for premium and main mainstream products. On the return side maybe I'll let Mark talk a little bit about that. We won't disclose the returns but maybe just talk a little bit about how we view this in our financials.
Mark Holbrook: Typically as you said we don't provide specific returns but we do have a good synergy related to using the existing TAD Sherbrooke site with the high demand and the variety of products that we're making and the financing obviously that we're in progress to finalize with investment Quebec which is excellent financing for us and it requires strictly debt. So we're not affecting our shareholder base at all in that sense. So we look at that project as higher or higher in terms of returns as we would be receiving on our other major projects.
Sean Steuart: Okay. Thanks for that Mark. That's all I have for now. thanks guys.
Dino Bianco: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Zachary Evershed with National Bank Financial. Go ahead please. Your line is open.
Unidentified Analyst: Thank you. Good morning. It's actually Thomas [indiscernible] for Zack. All my questions have been answered so maybe just one follow up on the startup curve. Are you able to quantify how much ahead you are?
Dino Bianco: Not yet. I think we had a startup curve which we modeled after our TAD one startup in Memphis plus what we were seeing or hearing in the marketplace for other competitors. So we had -- I say a reasonable startup curve plan. There's two things that happen. So I won't give you a number but two things that happened. One is we started up earlier. So we were producing product earlier and two what we were producing earlier was we were producing faster or more of than we had expected once we did start. So we're getting the benefit of time and we're getting the benefit of a virtually a vertical startup and I think that doesn't just happen as you know you've seen lots of startups and some of them have succeeded some have failed you probably have never seen one during a pandemic though and the reason I would say that we have done well is because of our institutional knowledge. Our learnings from Memphis. We had a strong team of people that were involved in the Memphis startup. Strong people from the industry that helped us really to just the [indiscernible] to start up a tad facility and we had a very strong village of retired people, people that have worked in different parts of our business that came on board to really make sure we were going to beat the numbers. So now the challenge is just making sure that we get the sales curve speeded up as well because we had planned a certain sales curve based on a capacity curve and now that's advanced we want to move quicker. So that's what we're mobilizing right now.
Unidentified Analyst: All right. That's very helpful. Thank you very much.
Dino Bianco: Thank you. 
Operator: Our next question comes from the line of Paul Quinn with RBC Capital Markets. Go ahead please. Your line is open.
Paul Quinn: Yes. Great. Thanks so much. Good morning guys.
Dino Bianco: Good morning Paul.
Mark Holbrook: Good morning Paul.
Paul Quinn: Just a higher level question on TAD Sherbrooke. what can we expect in contribution in ‘21 and how's that ramp up in ‘22 as well?
Dino Bianco: Well, we don't normally quote profitability at a machine. I don't know our assets Paul. I think we said to you when you look at the output of that asset it would probably be similar to what we had on TAD one the ramp up curve will be faster but in terms of the where it maximizes its level. The other piece we've always talked about is the benefit that TAD two and Sherbrooke will have on TAD one in Memphis. TAD one on Memphis was being relied on to do a lot and it was, we were swinging that machine a lot more than we should have and if we had maintenance downtime we couldn't offset it. Now we've got two in the system and we can use them complementary and produce the right products in the right location and maybe extend some runs. So we're not, we're swinging the machine as much and we'll get a collateral benefit in our whole network. I mean obviously Memphis but also some of our other assets in Crabtree and Gatineau and Lennoxville, etc. So I'm going to answer your question without giving a direct number which is similar number delivery to TAD one faster than TAD one and collateral benefits to the whole network.
Paul Quinn: All righty and then just on working capital that was a big benefit in 2020. What are we, are we expecting that's reversing ‘21 here?
Mark Holbrook: Paul it's Mark here. Good morning. From a working capital perspective obviously we had a significant impact on that due to COVID and we expect that to be a more normalized base as we look at 2021. Certainly in Q1 and going forward we'll see that.
Paul Quinn: Okay. And then just lastly just trying to offset this pulp cost pressure. Should we expect you to be making some kind of announcement in the next quarter or are you going to wait Dino you said you're waiting until things clarify but what's the time frame on that?
Dino Bianco: Yes. I mean we want to move as soon as we can and these are common to market cost increases. I also want to say it isn't just pulp. I mean we're seeing inflation on a lot of our inputs whether it be energy, whether it be packaging you're starting to see inflation. I think it's common. It's an expectation across most industries. Obviously pulping a big one for us. There are some predictions Paul that it may come down in the back half. I don't know there's lots of fundamentals at play here from unplanned downtime to the Chinese economy moving faster. So we're in a bit of wait and see. I don't want to give you a specific date. I think if we're going to do we're starting to do some stuff already that's more invisible to the market around productivity initiatives. And I think if we're going to take action in the market my guess is it's going to have to be during the second quarter in order to be able to provide an offset in 2021.
Paul Quinn: All right. That's all ahead thanks very much.
Dino Bianco: Thank you.
Operator: Our next question comes from the line of Frederic Tremblay with Desjardins. Go ahead please. Your line is open. 
Frederic Tremblay: Good morning.
Unidentified Analyst: Good morning.
Frederic Tremblay: I have a question on the consumer segment. Just wondering what your thoughts are in terms of the volume going forward there? There is obviously a very tough comparable from the 2020 surge in demand including late Q1 and Q2 but then you also have your attacher book ramping up. So just wanted maybe to get your general thoughts on how we should think about the evolution of consumer volume as we progress throughout 2021. 
Dino Bianco: Yes. It's a very interesting look at our business because there's so many dynamics. Let me start with the base business. Again I won't give you numbers but I'll just give you what we're dealing with. You had in 2020 a pantry load which created a sudden spike in sales because of inventory being moved to consumers homes. So you have that and it's working its way through. You had obviously increased stay at home and people not traveling and not working in the office. So that had a major impact and as we look at 2021 we don't think the spike piece will be there. People are more stable with the market and comfortable with tissue supply. In fact we're probably expecting a deload. You're probably going to see a reduction of stay at home through the year but still higher than normal. So you've got that at play. You'll start to see an AFH recovery in the back half and then you overlay for us. You overlay TAD Sherbrooke. So we continue to see despite all those moving pieces that our volume is going to be strong a lot of it's driven by TAD coming on board in 2021 as we look at the dynamics that are at play. I would also say I mentioned in my prepared remarks things like Stay-At-Home mandate or not mandate to stay at home behavior and increased hygiene whether it be personal hygiene or surface hygiene will continue post-pandemic and we think this is going to be a structural shift in how people use tissue going forward and that was related to my discussion around wanting to bring Sherbrooke on faster the additional investment to make sure we're able to meet that increased demand in the future.
Frederic Tremblay: Thanks [indiscernible] thank you very much.
Operator:
Dino Bianco: Thanks Frederick.
Operator: Our next question comes from the line of Zachary Evershed from National Bank Financial. Go ahead please. Your line is open. 
Zachary Evershed: Thank you. Good morning everyone. 
Dino Bianco: Hi Zack.
Zachary Evershed: So could you speak to the interplay between the increased advertising spends as potential defensive measure for your market share if you do end up increasing prices later this year? 
Dino Bianco: Yes. I've been in the consumer business for over 30 years I mean I look at marketing generally as a long-term investment. Certainly it has some short-term benefits particularly when you're communicating news or a promotion but generally it's long-term equity building of your brands where you see the benefit in years in the future. I mean there's the reason why Cashmere is so strong today is because of all the advertising we did 5-10 years ago. So we will continue to take an approach of investing to build our brands. We have the added innovation that's going to come out of Sherbrooke with TAD particularly in paper towel where we're going to ramp up our investment. I talked about our quality improvement in Cashmere to be a better softer product. We're going to invest in that. So you will continue to see increased investment in our business support our brands. If we have to tweak it because of the marketplace dynamics on a short-term basis we'll be prepared to do that but it will not be a drastic fall for a escalating pulp cost if you will. We will make just smart decisions as we do in other things around productivity as it relates to marketing spend.
Zachary Evershed: Great answer. Thanks. I'll turn it over.
Operator: And there are no further questions in queue at this time. I'd like to turn the conference back over to Dino Bianco for some closing remarks.
Dino Bianco: Great. Thank you. Thank you for joining us on the conference call this morning. We look forward to speaking with you again following the release of our first quarter results. In the meantime stay safe, stay healthy. Thank you. Have a great day.
Operator: Ladies and gentlemen this does conclude today's conference call. You may now disconnect.